Operator: Good day, ladies and gentlemen, and welcome to the ExlService Holdings Third Quarter Conference Call. As a reminder, this conference call may be recorded. I would now like to turn the conference over to Mr. Steve Barlow. Mr. Barlow, you may begin.
Steven N. Barlow - ExlService Holdings, Inc.: Thank you. Hello, and thanks to everyone for joining EXL's third quarter 2016 financial results conference call. I'm Steve Barlow, EXL's Vice President of Investor Relations. With us here today in New York is Rohit Kapoor, our Vice Chairman and Chief Executive Officer; and Vishal Chhibbar, our Chief Financial Officer. We hope that you've had an opportunity to review our quarterly earnings press release we issued this morning and the press release announcing the acquisition of Datasource. We've also updated our Investor Fact Sheet in the Investor Relations section of EXL's website. As you know, some of the matters we'll discuss in this call are forward-looking. Please keep in mind that these forward-looking statements are subject to known and unknown risks and uncertainties that could cause actual results to differ materially from those expressed or implied by such statements. Such risks and uncertainties include, but are not limited to, general economic conditions, those factors set forth in today's press release, discussed in the company's periodic reports and other documents filed with the Securities and Exchange Commission from time to time. EXL assumes no obligation to update the information presented on this conference call. During our call today, we may reference certain non-GAAP financial measures, which we believe provide useful information for investors. Reconciliation of these measures to GAAP can be found in our press release, as well as in the Investor Fact Sheet. I'll now turn the call over to Rohit Kapoor, EXL's Chief Executive Officer. Rohit?
Rohit Kapoor - ExlService Holdings, Inc.: Thank you, Steve. Good morning, everyone, and welcome to our third quarter 2016 earnings call. We generated $171.2 million in revenue, up 6.2% year-over-year on a constant currency basis. Adjusted EPS increased to $0.61 compared to $0.58 a year ago. While our earnings growth was on track, revenues were below our expectation. We faced significant headwinds in our consulting and platform businesses, both of which are dependent on client discretion when it comes to spend and timing. These businesses include revenues from short-term projects, volume-linked engagements and new license sales. This makes them susceptible to volatility and business performance. On the other hand, our Operations Management business, excluding consulting and platform, and our Analytics business continued to do very well and remain fundamentally strong. Operations Management, excluding consulting and platform, grew by 9% year-over-year on a constant currency basis. This is in line with our goal to grow this business between 8% to 10% per annum. Our Analytics business continued to deliver market-leading growth of 20% year-over-year on a constant currency basis. I am confident that the reasons for the revenue softness in 2016 are short term in nature and will not impact our growth prospects. Now, let me provide some color on the actions we are taking to mitigate the impact of volatility associated with these businesses. We have pivoted our consulting business around two pillars. First, we have developed market-specific solutions that help clients address strategic and regulatory issues that are urgent and high priority. For example, we are helping clients design their digital transformation roadmaps using our proprietary Cognitive Corporation and BluePrint Frameworks. Additionally, we have developed robotics and advanced automation solutions, which help our clients drive efficiency and effectiveness in their existing operating models. We are also helping clients respond to changes in the business environment by providing solutions to manage cyber risks, adopt new revenue recognition standards and help comply with new regulatory standards applicable to the financial services institutions. Second, in order to sharpen focus, we have reorganized our consulting business into specific service offerings in the areas of digital consulting, finance transformation and operations consulting. In addition, we have aligned our consulting resources by industry verticals to enhance domain expertise and position EXL as a thought leader. And finally, we have hired a new head of consulting who will join us later this quarter. We are committed to reorienting and growing our consulting business. Our strategic intent is for consulting to act as the tip of the spear to help grow our downstream Operations Management and Analytics businesses. Moving on to our platform businesses. Softness in the property survey business in insurance was the primary driver of its underperformance. This was due to a shift in the market to lower complexity and less expensive surveys that resulted in lower volumes for EXL in the high-value personal home segment. In order to mitigate the impact, we have introduced new offering and expanded our addressable market by increasing focus on the commercial service segment, a large market with lower price elasticity. In addition, we are differentiating our value proposition by embedding analytics and data visualization into our survey offerings. The second reason for softness in our platform businesses was the delay in new license sales, the timing of which is difficult to predict. We are mitigating the impact of these delays by adopting an aggressive sales approach, including selling adjacent services while continuing to upgrade the functionality of our platforms by embedding automation, analytics and data visualization. We are confident that our platform businesses will get back on track, and the current pipeline looks solid. This is especially true in LifePRO, where the acquisition of LISS has already boosted demand. I want to emphasize that our platform businesses are important differentiators for EXL, particularly in the insurance and healthcare industry verticals. They help us win large strategic deals, drive non-linear growth and allow EXL to play a key role in our clients' innovation and digital transformation agendas. Over the past few months, we have successfully executed on our M&A strategy. We have acquired two companies to bolster our market-leading Analytics business and added one company to enhance our digital capability. This morning, we announced the acquisition of Datasource. Datasource helps clients design data management strategies, architect and implement their data infrastructure and manage their data assets. This acquisition expands EXL's addressable market within analytics and allows us to compete in the larger and growing enterprise data management and business intelligence space. Their expertise will allow EXL to engage with clients early in their analytics life cycle and enable us to get a greater share of follow-through analytics work. In addition, Datasource's strong client relationships will provide us access to a new set of analytics buyers in the CIO's office. When combined with our existing capabilities and predictive modeling and insight generation, this acquisition will allow EXL to provide end-to-end data analytics solutions. I'm excited to welcome Datasource's U.S.-based team of talented professionals, who are experienced in diverse technology environments and have a passion for data. In September, we acquired IQR. This acquisition in our Analytics business strengthens our Banking & Financial Services vertical by helping us extend our solutions to super-regional banks and credit unions in the U.S. While IQR focuses on marketing analytics, we have the opportunity to expand their existing client relationships by cross-selling EXL's proven risk analytic capabilities. In an industry where talent is a key differentiator, IQR brings us a team of trained and experienced data scientists in addition to diversifying our delivery footprint in India. Last quarter, we announced the acquisition of LISS. You will recall that LISS provides front-end technology capabilities, which help clients interact with their customers in a digital format. I am pleased to share that the integration is going better than expected with two wins in the first 100 days, a cross-sell to a U.S. insurance client and a new UK client. The win in the U.S. validated our acquisition thesis that LISS's capabilities would be portable to the U.S. market. LISS has provided renewed impetus to LifePRO, our policy administration platform business. We believe that our market opportunity has expanded with LISS, adding digital new business acquisition capabilities to our policy administration services. The best indicator of the health of our business is EXL's continued success in winning new clients and expanding existing relationships. This quarter, we won nine new clients, five in Operations Management and four in Analytics, for a total of 27 wins in 2016. The wins in this quarter were in Insurance and Banking & Financial Services, including our second win in the Australian market. In Operations Management, over the past 21 months, not only have we won multiple deals at new and existing clients, but the quality of wins has been excellent. We have won deals across our core domains of Insurance, Healthcare, Banking & Financial Services and travel, transportation and logistics. Many of these wins are multi-service line solutions. We are excited by the fact that some of these have the potential to become top 10 clients for EXL and will drive our long-term growth. I would also like to highlight that our financial accounting business had multiple new logo wins and meaningful expansions at existing clients in 2016. In Analytics, we continued to strengthen our position as a market leader in banking and financial services. We added a digital bank, a large global payments company and a large investment management firm to our client portfolio. Our retail and media segment, which I spoke about previously, continues to see strong traction with the addition of a large North American retailer this quarter. Today, EXL Analytics wins large annuity mandates versus small project-based discretionary work. For example, a leading global bank engaged with EXL to enhance the maturity of their analytics processes. Initially, our work will involve driving greater customer centricity through insightful business intelligence solutions. Next, we will support them to upgrade their data infrastructure by integrating new and real-time data flows. And lastly, we will design and embed analytical models in their fraud and underwriting processes. In order to help them achieve these objectives, EXL is setting up a center of excellence for the bank with a team of over 50 data scientists. We won this mandate because of our ability to provide analytics talents at scale, in conjunction with our advanced analytics methodologies and deep domain expertise. In addition to winning new deals, we continued to focus on excellent service delivery to exceed client expectations. In this regard, I'm happy to share that the results of our annual NPS survey were very encouraging and that our overall NP Score improved by over 9 percentage points. Now, let me provide some color on our pipeline. We continue to have a healthy pipeline across Operations Management and Analytics, including new logos and existing client expansion. The pipeline is strong in Insurance, Healthcare and Banking with many deals in advanced stages of discussion. In Insurance, our Business EXLerator-driven solutions that combine deep domain expertise with analytics and a suite of technology platforms offer a differentiated value proposition for prospects and clients. Our healthcare business continues to grow, and we've seen heightened demand from payers in the complex Medicaid and Medicare space. EXL's healthcare integrated solution that combines clinical care management, analytics and medical cost management capabilities helps clients reduce the cost of care, increase end customer engagement, close care gaps and drive behavioral change. The pipeline for Analytics continues to be robust with companies looking to EXL to help them deliver on their twin objectives of, A, scaling up their analytics team with top talent; and, B, incorporating sophisticated models and methodologies into their processes in an agile and cost-effective manner. To summarize, the demand environment for our solutions continues to be strong, and EXL is well-positioned to capitalize on this demand. While, I have said this before, let me reiterate why I feel excited about the future. In today's business environment, most companies are challenged to grow revenues and improve profitability in the face of a sluggish global economy. In such a scenario, the decision to choose EXL as a strategic partner, whose operations management and analytics capabilities quickly deliver tangible business benefit, is very, very compelling. Additionally, almost all our clients are looking to digitally transform their business models and are following a dual-path strategy to achieve this objective. On the one hand, they are focusing on transforming the assets by improving the efficiency and lowering cost of their existing operating models. And then, simultaneously, they are focused on transforming for the future by building a customer-centric business model. EXL is well-positioned to take advantage of both these trends due to our early and significant investment in domain expertise, data analytics and technology. Given our strong track record in innovation, we are confident that clients will partner with us and expand their relationships across our broad suite of solutions. And finally, I want to share that we celebrated our 10th year as a public company last week at NASDAQ. I would like to thank our employees, clients and shareholders for their support in making this day possible. While the last 10 years have been a fantastic journey and we are very proud of our achievements, we remain extremely excited about the next step. With that, I will now turn over the call to Vishal.
Vishal Chhibbar - ExlService Holdings, Inc.: Thank you, Rohit, and thanks, everyone, for joining us this morning. I would like to start off by providing insight into our financial performance for the third quarter followed by our guidance for the year. Revenues for the quarter were $171.2 million up 4.7% year-over-year or 6.2% on a constant currency basis. Sequentially, we grew 0.4%, or 0.8% on a constant currency basis. Operations Management revenues grew 1.2% year-over-year or 2.4% on a constant-currency basis. Excluding consulting and platforms, Operations Management grew 7.6% year-over-year or 8.9% on a constant-currency basis. This growth was led by clients from our Healthcare, Insurance and travel and transportation logistic verticals. Sequentially, Operations Management revenues declined by 1%. However, excluding consulting and platform, Operations Management grew by 1.1% on a constant-currency basis. Analytics, which is 24% of our total revenues, continued its strong growth momentum with revenues up 17.4% year-over-year or 19.7% on a constant-currency basis. This growth was led by clients from our Banking & Financial Services and Healthcare verticals. Sequentially, Analytics revenues grew 6% on a constant-currency basis. For the nine-month period ended September 30, our revenues grew by 11.7% year-over-year on a constant-currency basis to $508.7 million. This growth was driven by a combination of new deal wins, expansion of existing plan relationships across our verticals and inorganic growth. For the nine months through September, we have won 27 new clients and 15 in Operations Management and 12 in Analytics. Organically, year-over-year on a YTD constant-currency basis, our revenues grew 8.9% with Operations Management revenues growing by 4.6% and Analytics by 34.9%. Excluding consulting and platform, Operations Management grew 10.1% on a year-over-year basis. Gross margin for the quarter declined year-over-year by 220 basis points to 34.7%. This was driven by softness in consulting and platform businesses with an impact of 160 basis points, investments in new geographies impact of 30 basis points and lower utilization as a result of advanced hiring in Analytics 30 basis points. Sequentially, gross margin improved by 40 basis points as a result of improved utilization and analytics impact of 90 basis points, which were partially offset by softness in our consulting and platform businesses and FX headwinds impact of 50 basis points. SG&A expenses increased by 30 basis points year-over-year to 19.6% of revenue. This was primarily driven by [deal rate] expenses and investment in new geographies, which were partially offset by operating leverage. Sequentially, SG&A improved by 30 basis points primarily as a result of lower discretionary spend and operating leverage. Our adjusted operating margins declined by 260 basis points to 14.4% from 17% year-over-year. This decline was driven by gross margins impact of 220 basis points, as mentioned earlier; SG&A impact of 30 basis points; and 40 basis points due to higher depreciation for capital expenditures, partially offset by an operating leverage of 30 basis points. Sequentially, adjusted operating margins improved by 70 basis points, driven by as a result of gross margin improvement of 40 basis points and lower discretionary spend coupled with operating leverage of 30 basis points. The tax rate for the quarter was 26%. The sequential improvement in tax rate was driven by impact of discrete items in Q2 2017, higher tax exemptions and income from lower tax jurisdictions. Adjusted EPS for the third quarter was $0.61, up 5.2% year-over-year. On a YTD basis, diluted EPS is up 17% to $1.72. Turning to other financial metrics. DSO for the quarter was 57 days, an improvement of one day from the last quarter. Our balance sheet remains strong with $214 million of cash. Our net cash position as of September 30 was a healthy $169 million after spending $20.3 million on capital expenditure, $15.2 million on repurchasing of our shares and $9.4 million on acquisitions of LISS and IQR for the first nine months. Capital expenditure for the third quarter were $5.5 million, primarily driven on new facilities and legal improvement, telecom equipment and computer hardware and software. We expect capital expenditures to be in the range of $25 million to $28 million for the year. Our cash flow from operations were $29.1 million, up from $27.4 million in Q3 2015 as a result of higher net income, better working capital management and improved DSO. Now, let me comment on our updated guidance for the year 2016. Based on current visibility in the U.S. dollar to the Indian rupee exchange rate of INR 67, the British pound to U.S. dollar exchange rate of $1.23, U.S. dollar to Philippine peso at an exchange rate of PHP 48.5 and other currencies at current exchange rates, we are updating our revenue guidance to $680 million to $688 million, representing an annual growth of 10% to 11% on a constant currency basis. The change to our revenue guidance is due to softness in our consulting and platform businesses and includes the impact of revenue from acquisitions this year. We have narrowed our adjusted EPS guidance to $2.30 to $2.35, representing an annual increase of 13% to 16%. For 2016, our FX gains would be in the range of $5 million to $6 million, and the tax rate is expected to be approximately 29%. Our priority use of free cash flow remain to, one, make acquisitions that enhance our capability set; two, invest in our business and operations to support our growth strategy; and, three, continue to repurchase shares under a board-approved plan. In conclusion, for the nine-month period, our business grew at a healthy rate of 12% on a constant currency basis and recorded an adjusted EPS growth of 17%. The market for our Operations Management and Analytics services remain strong, and we believe our new client wins coupled with the growth from our existing clients, as a result of deeper account mining and cross selling in 2016, gives us the momentum to finish the year on a strong note and positions us well for 2017. Lastly, we are very excited about our recent acquisitions, as they help us deepen our domain knowledge and provide new capabilities to offer to our clients. And now, Rohit and I would be happy to take your questions.
Operator: And our first question will come from Joseph Foresi at Cantor Fitzgerald. Your line is now open.
Joseph Foresi - Cantor Fitzgerald Securities: Hi. Good morning. I wonder if we could hone in on the weaknesses. Where exactly did you see the weakness? Was it a couple of clients or were you – do you think those businesses were poorly positioned, and I'm talking about consulting and platforming? And then, maybe you could just give us a percentage of revenue or margin contribution from each of those businesses and any ideas on what amount of risk is left in there.
Rohit Kapoor - ExlService Holdings, Inc.: Sure. So, Joe, for us, as we mentioned, the impact was really in two parts of our business, one is our consulting business and the second is our platform business. The consulting business was sluggish because of the discretionary spend associated with this business, and the impact was isolated to a couple of clients within our consulting practice where there was a significant freeze in expenses associated with consulting. On the platform side, as we mentioned, the issue was in our properties survey business that we undertake within the Insurance industry vertical. And there, it was a shift in market conditions. So, there, it was much more broad based across our clients. Now, the thing to keep in mind in terms of margins is, on both these businesses, consulting and platforms, when our revenue declines, it has a significant impact to the profitability of these businesses because the underlying cost structure is largely fixed. And therefore, it has a material impact to the profitability of this business. And therefore, the utilization of the consulting business is important and the ability to generate revenue for our platform businesses that have a fixed cost structure of technology and people and resources, that remains constant. I hope that provides you with a greater color on this.
Joseph Foresi - Cantor Fitzgerald Securities: Sure. And then, just on, I guess, maybe a confusing point in the market. So, you're seeing weaknesses in discretionary spending in certain verticals and in certain areas, but your pipeline sounds like it's very, very good. How do we reconcile those two data points? And maybe you can give us any idea on how you think about that versus growth in 2017. Thanks.
Rohit Kapoor - ExlService Holdings, Inc.: Sure. So, let me just try and address this for everybody, so that you get the correct picture of this. The way in which we break out our business is into two segments, Operations Management and Analytics. Analytics today is about 24% of our revenues and Operations Management is the balance, 76% of our revenues. Our Analytics business, we've been focusing on that in terms of building it very, very strongly, competitively and creating a market-leading position on analytics. For us, that business continues to perform exceptionally well and there is strong growth, strong client adoption and the demand dynamics in that operating segment remain very, very good. So, for us, that's something which we've been able to demonstrate and we continue to move forward quite nicely out there. In Operations Management, we would basically break up the Operations Management business into three buckets. We have the traditional Operations Management work that we do. We have a small piece of work that we do around consulting. And then, over the past five years, we've been trying to build out a platform business, which is more driven towards generating BPaaS revenue streams. Both the consulting and the BPaaS platform-based businesses are going to be volatile, and that's where there is an impact of the discretionary spend. The underlying core Operations Management business, which is the bulk of the operations management segment, actually is performing really, really well. We have one significant new client relationships in that particular segment. And therefore, the backlog of work that we have is very, very significant and we really are confident about the growth of that business as we go forward. However, the consulting business and the platform business, by their very nature, will be volatile and will experience changes to the revenue growth rate or a deceleration of growth rate. And that's what we are seeing in the marketplace. I think the part to understand also is the consulting business is extremely important for us to win the downstream Operations Management and Analytics business. And the platform business is strategically important, again, for us to win our core Operations Management business because it provides our clients with the confidence that we can embed technology along with the operations. And that's why these two businesses are strategic and critical, and we need to have a balance between our portfolio.
Joseph Foresi - Cantor Fitzgerald Securities: Got it. And just for clarification purposes, what – how big is consulting and platforming as a percentage of revenue? Thanks.
Rohit Kapoor - ExlService Holdings, Inc.: So, Joe, the consulting business for us is 6% of revenues, and the platform businesses for us are 17% of revenue.
Joseph Foresi - Cantor Fitzgerald Securities: Okay. Thank you.
Operator: Thank you. And our next question will come from Ed Caso from Wells Fargo. Your line is now open.
Richard M. Eskelsen - Wells Fargo Securities LLC: Hi. Good morning. It's Rick Eskelsen on for Ed. I was hoping to, first, just drill into the organic constant currency growth rates that you saw this quarter and what you're assuming for guidance.
Vishal Chhibbar - ExlService Holdings, Inc.: Yeah. Hi, Rick. This is Vishal. For this quarter, our organic constant currency growth was 5.5% year-over-year. And when we look at – for our guidance, we are assuming that the – at the midpoint of our guidance, our organic constant currency growth rate was about 8%.
Richard M. Eskelsen - Wells Fargo Securities LLC: 8%? Okay. And then, just staying on that topic, two questions on M&A. First, what's the expected contribution from the two acquisitions that you have talked about today, the two new ones? And then, just on what you were talking about just before, to Joe's question, on platforms, does the discretionary weakness that you're seeing caused you to rethink or change your platform M&A strategy and maybe focus on more core or maybe more or less discretionary areas for platforms to look at? Thank you.
Rohit Kapoor - ExlService Holdings, Inc.: Sure. So, in terms of the acquisitions, this year, we've done three acquisitions, LISS, IQR and Datasource. All three of these acquisitions are small tuck-in acquisitions for us, and the total contribution of revenue that we expect across the three acquisitions that we have done for the full year is $4.4 million. In terms of our strategic response to the discretionary elements of our business model, our strategic viewpoint is that we wanted to have a business model that would be a 60-20-20 business model. We wanted 20% of our business to be in analytics, we wanted 20% of our business to be in platforms and we wanted 60% of our business to be in traditional ops management capabilities. Where we've ended up today is we have analytics at 24%, we have our platform businesses at 17% and our traditional ops management business is about 59% or 60%. So, frankly, we are at our optimal structure in terms of portfolio composition. We think that this is the right level for us. Clearly, Analytics has exceeded that weightage, and we are not very concerned about that. And we will continue to build and strengthen on Analytics because that's something which is resonating very strongly in the marketplace, and we think we can take advantage of the market opportunity as well as the capability set that we've got within EXL. So, for us, our goal is going to be to continue to push on our Analytics business and then keep balancing out our growth in our traditional ops management and platform businesses.
Richard M. Eskelsen - Wells Fargo Securities LLC: Thank you very much.
Operator: Thank you. And our next question will come from Anil Doradla at William Blair. Your line is now open.
Anil Kumar Doradla - William Blair & Co. LLC: Hey, guys. A couple of clarifications, digging in on these issues. Now, Rohit, consulting has been a little bit of a headwind over the last quarter or two. Did you see a further deterioration? Or was it pretty much consistent with the headwinds in terms of magnitudes over the last quarter or two? And also, the platforming and consulting, is that with the same set of clients or there are two distinct set of events taking place?
Rohit Kapoor - ExlService Holdings, Inc.: Sure, Anil. So, the consulting business, we have been reporting throughout this year that we have seen weakness in that consulting business and we saw that in the first half of 2016 as well. Traditionally, Q3 is the strongest quarter for us on consulting. And if you take a look at our historical financials, typically, our third quarter revenue goes up significantly and it is driven in substantial part by the change in revenue that takes place in consulting. For us, in the third quarter of 2016, our consulting revenue actually declined from the second quarter of 2016. So, it was very different to what our previous historical experience was, what our expectation set was and this happened fairly quickly. In terms of the overlap between our consulting clients and our platform clients, there really isn't any overlap between the clients that we've got. Most of our consulting clients typically will end up being clients that will do work with us on the Operations Management side, and most of our platform clients are clients which will do work with us on the BPaaS business model and they tend to be very different clients. So, we are seeing this discretionary spend take place with a few clients in consulting and a broad-based shift in one of the platform businesses that we have, which is the property survey business across the board there.
Anil Kumar Doradla - William Blair & Co. LLC: So, Rohit, this leads me to the next question. If consulting has been a headwind over a multi-quarter period and you see a – I don't know whether I should use the word paradigm shift in the way the survey business is going on. How do I reconcile these two comments with your aspirations that this is a short-term headwind?
Rohit Kapoor - ExlService Holdings, Inc.: Sure. So, first of all, the consulting business for us provides a headwind of approximately of 2 percentage points for the full year 2016 as compared to 2015. So, there's been a decline in that business, and that's the impact of the consulting business. The reason we are confident about the consulting business bouncing back is because of the change in service lines and service offerings that we have made, which are very necessary for clients to be able to engage in and implement as they think about changes to their business models. So, I think what we're going to see is a shift in terms of the kind of work that we did in the past versus the kind of work that we're going to do in the future in the consulting line of business. In the property survey business, we were impacted in the personal segment. And what we've decided to do is to enter the commercial segment, which is much less price-sensitive and it's much better suited to our domain expertise, our ability to manage complex transactions and provide incremental value to our clients. And therefore, again, that shift is something which we think will work well for our clients and for us.
Anil Kumar Doradla - William Blair & Co. LLC: So, if you don't mind me squeezing in one final one. So, given what you've spoken, going forward, obviously, it won't be a fix overnight. Do you think these issues get resolved, say, two quarters out from now or even one quarter out from now? How are you thinking about these headwinds?
Rohit Kapoor - ExlService Holdings, Inc.: So, I think you're right. It will take us some time to fix both of these businesses. But I think the good part about this is, because they are short-term discretionary work in nature and it can impact us quite quickly on the downside, the bounce back also can be very, very quick. So, I think we're going to fix this as quickly as possible. But we would expect that over the next few quarters, that these businesses will bottom out and will start to generate growth.
Anil Kumar Doradla - William Blair & Co. LLC: Thanks a lot.
Operator: Thank you. And our next question will come from Ashwin Shirvaikar at Citi. Your line is now open.
Ashwin Shirvaikar - Citigroup Global Markets, Inc. (Broker): Thanks. Good morning, Rohit. Good morning, Vishal.
Rohit Kapoor - ExlService Holdings, Inc.: Good morning.
Ashwin Shirvaikar - Citigroup Global Markets, Inc. (Broker): So, my question is about the kind of work that you do in consulting. So, in answer to the previous question, you said that you're changing the nature of work in the service lines you're providing. Can you provide further details on what is it that's not been working and what are you adding that you expect to work? And if it's 6% of overall revenues and you saw a 200-basis-point impact, that does imply that, basically, this has been a really significant, can't even call it a downtick. I mean, basically, demand seems to have just vanished in existing service lines. Would that be a fair comment? And is there anything you could do to – so you – could you have seen this coming?
Rohit Kapoor - ExlService Holdings, Inc.: Sure, Ashwin. So, the kind of work that we did in the past in consulting was traditional operational consulting work. We did work around SOX testing and helping our clients review their controls. And the new service lines that we have introduced, number one, is a digital transformation roadmap which uses our proprietary Cognitive Corporation and BluePrint Frameworks. We now have capability of helping our clients adopt robotics and advanced automation. And we are shifting away from the traditional finance transformation work that we did around SOX and now working on helping them comply with the new revenue recognition standards and the new standards that are applicable for financial services institutions. So, these service lines are very different from the service lines that we had previously. In terms of the magnitude of impact by the consulting business, yes, the impact is quite significant in a small portion of our business, but that's why we are confident that this is something which has bottomed out and will allow us to be able to get growth into 2017 as we reorient these businesses. So, there is a short-term impact here. But I think it is a short-term impact, and it should not impact us in 2017 and beyond.
Ashwin Shirvaikar - Citigroup Global Markets, Inc. (Broker): Got it. And in terms of – you mentioned consulting for RPA, consulting for automation. Our checks show as well that clients seemed to be moving beyond pilots and proofs of concept into real-sized implementations. This is something that you offered for a few years. Any commentary with regards to the magnitude of productivity improvements that clients seek nowadays versus what they used to seek in the past?
Rohit Kapoor - ExlService Holdings, Inc.: Sure. So, robotic process automation, or RPA, that's been something which has been a hot topic for the past couple of years. EXL has built up very strong capabilities around us with our own robotic bots, which are proprietary in nature, as well as several partnerships that we've created. I think one of the things which we are seeing, which is really strong and positive, is that our clients are now recognizing that the best partner to help them move on this journey on robotics process automation is actually service providers like EXL which have got deep domain expertise. We understand their back-office operations and their processes, we understand technology and we understand how to implement and execute and get them the productivity benefits. Many of our clients did try out pilots on their own or they tried out pilots with just a pure-play automation service provider. And I think it's becoming clearer and clearer that the best business model for them is really to work with providers like EXL that can deliver the productivity benefits and can ensure the implementation of these robotics bots into their operations. I think clients are certainly looking for a higher level of productivity benefits than they did in the past, and many of these tools and capabilities can generate productivity benefits of 15% to 20% over the applicable processes. The challenge really is where all robotics can be applied because you need to have standardized processes in order to be able to apply robotics to those processes, and you need that in volume. Wherever you have fragmented processes which are very complex, then there is limited applicability of robotics. So, it just depends on the type of work that you're doing and the kind of productivity benefit that you can provide to your clients.
Ashwin Shirvaikar - Citigroup Global Markets, Inc. (Broker): Thanks. That's useful. One last question with regards to when you think of ops management, then you've provided the breakout between traditional ops and consulting and platform BPaaS-type work. You signed a number of contracts over the last two, three quarters. Are they – is it fair to say they're probably more geared towards traditional Ops Management, leaving aside the analytics side, which is doing quite well, but traditional Ops Management? Then, just to clarify, when you say 8% to 10% expectation, are you talking about the overall Ops Management business or are you talking about the subpart that's traditional while consulting and platform BPaaS continue to grow slower?
Rohit Kapoor - ExlService Holdings, Inc.: Sure. So, let me just clarify once again in terms of our operating business model from a growth perspective. Our expectation is that our Operations Management segment will grow at 8% to 10%, and our expectation is that our Analytics business will grow at 20%-plus year-on-year. The Operations Management segment for us is the traditional Operations Management business. It includes consulting and it includes platform, and that is our expectation over a long-term period. There will be volatility associated with some of these sub-segments quarter-on-quarter, and we'll deal with that volatility. I think the other important element which you touched upon is, in 2015 and in 2016, we have won several, large strategic Operations Management clients, which are the traditional Operations Management clients, and the implementation of work associated with these new wins that we have had in the last 21 months is going to take place this year and next year and the year beyond. So, that is what gives us confidence in terms of growing our business year-on-year, and that is what gives us confidence in the fundamental strength of our business. I think that's the critical part. Quarter-on-quarter, there will be volatility and that's something to be expected as we make this shift toward a business model which is 60-20-20.
Ashwin Shirvaikar - Citigroup Global Markets, Inc. (Broker): Got it. Makes sense. Thanks.
Operator: Thank you. And our next question comes from the line of Dave Koning at Baird. Your line is now open.
David J. Koning - Robert W. Baird & Co., Inc. (Broker): Yeah. Hey, guys. And, I guess, first of all, obviously, the Q3 and Q4 are a little lighter than usual and look more like mid-single digit growth. But what's the level of confidence – I know there's some volatility to revenue streams. So, what's the level of confidence that you can kind of get back in the reasonable near term like 2017 to 10%-plus revenue growth?
Rohit Kapoor - ExlService Holdings, Inc.: Sure, Dave. So, I guess, let me just try and give you some color around that. Traditionally, from a consulting perspective, Q3 is our strongest quarter. And then, in Q4, our consulting business goes down because of the holidays, as well as the lesser number of working business days as well as, yearend – most of our clients will not commit to additional work towards yearend. So, that's what we normally see. This year, what we have seen is that the third quarter on consulting was soft, and we have factored in the traditional decline in business that takes place from Q3 to Q4 in terms of our consulting business. So, that's something which is factored in into our guidance and is very much in place. I think the part that we want to emphasize is, despite the softness, our overall business for the first nine months has grown at 12% on a constant currency basis on our top line. And our EPS has grown at 17% for the first nine months on a year-on-year basis. So, we are actually growing our business quite nicely, both on the top line and on the bottom line.
David J. Koning - Robert W. Baird & Co., Inc. (Broker): Okay, okay. Thank you. And, I guess, secondly, just on margins. I know, earlier in the year, you expected a decent margin expansion this year in – is there any change to kind of how you're thinking of margins being flat to up a little bit, I guess, this year and then, over time, kind of the same – was it 20 bps, 30 bps of margin expansion per year or something like that?
Vishal Chhibbar - ExlService Holdings, Inc.: Yeah. Hi, Dave. This is Vishal. I think our margins this quarter, actually, as we mentioned in the script, we improved on the adjusted operating margin by 70 bps. The margin would have been much better had we not had the impact of the softness in consulting and platform businesses, which have a fixed-cost structure. And if the revenue doesn't come, it does impact our bottom line. So, over the next few years as we recover, we do expect that the margins will improve in 2017 and beyond.
David J. Koning - Robert W. Baird & Co., Inc. (Broker): Okay, okay. Great. And then, finally, the tax rate was quite a bit lower, 26% this quarter. I know, over time, you've said 30% seems to be about right. Is it – do you still think 30% is the right number, or did something change a little here?
Vishal Chhibbar - ExlService Holdings, Inc.: We expect the tax rate to be in the 29% to 30% range.
David J. Koning - Robert W. Baird & Co., Inc. (Broker): And for going forward as well?
Vishal Chhibbar - ExlService Holdings, Inc.: Yes.
David J. Koning - Robert W. Baird & Co., Inc. (Broker): Okay, okay. Great. Thank you, guys.
Operator: Thank you. And our next question comes from Frank Atkins at SunTrust. Your line is now open.
Frank C. Atkins - SunTrust Robinson Humphrey, Inc.: Thanks for taking my question. I wanted to ask about Banking & Financial Services. On the IT side, there's been some areas of weakness in discretionary spend. You guys didn't see that. Some of the BPM-related peers have not seen that. What are you seeing from clients in that vertical?
Rohit Kapoor - ExlService Holdings, Inc.: Yes, Frank. So, a large portion of the work that we do with the Banking & Financial Services industry vertical is around data analytics. Banks and financial institutions have actually been stepping up their usage of data analytics. And therefore, we are benefiting from that trend that is taking place. As we announced, we've added on a number of different banks and financial institutions as new clients. In the past, they had traditionally used some of the big four accounting firms or they had used some of the global consulting firms to provide them these services. As they get more mature and as they get into larger, more complex relationships, they're finding that providers like EXL, which have the domain expertise, a global delivery model on data analytics and a deep understanding of both data and predictive modeling, that works much better for them. So, we are actually benefiting from the shift that's taking place. And what's happening on the IT services side with banks and financial services doesn't seem to be impacting us at all.
Frank C. Atkins - SunTrust Robinson Humphrey, Inc.: Okay. Great, great. And then, wanted to ask real quickly. Europe or United Kingdom held very steady. It looks like not a lot of impact from Brexit. But just let us – let me know, in terms of your thoughts forward, would you expect there to be any shifts towards cost optimization and using you as a partner of that going forward?
Rohit Kapoor - ExlService Holdings, Inc.: Sure. As we have stated in the past, Brexit really hasn't had much of an impact either in terms of our existing clients or in terms of our business pipeline. It pretty much remains steady. What we have also said is that, from an FX perspective, we are very well hedged associated with the pound-to-dollar exchange rate. And therefore, we really haven't seen any impact out there. We continue to win new clients in the UK market, and that's something which is great for us. And we do hope to increase our presence in UK and continue to expand out there.
Frank C. Atkins - SunTrust Robinson Humphrey, Inc.: And the last one for me. Datasource Consulting, a nice little strategic tuck-in there. Can you talk about the impact of those type of tuck-ins on win rates?
Rohit Kapoor - ExlService Holdings, Inc.: For us, to do some of these tuck-in acquisitions actually expands our service offerings that we can take to market to our clients. So, with IQR, we can do deeper into the Banking & Financial Services market by going to super-regional banks and going to credit unions. With Datasource, actually, we can go much earlier into our clients and help them in terms of their data management strategies and then position ourselves for work when they think about predictive modeling and using analytical services. So, I think what you're going to see is the win – the area of our playing field will expand with both these acquisitions.
Frank C. Atkins - SunTrust Robinson Humphrey, Inc.: All right. Great. Thank you very much.
Operator: Thank you. And our next question comes from Jason Kupferberg at Jefferies. Your line is now open.
Jason Alan Kupferberg - Jefferies LLC: Thanks, guys. Just wanted to get a sense on – your EPS guidance, actually, at the midpoint is going up slightly despite the revenue cut. I think you did shave a point off the tax rate outlook for the year. What is the delta in terms of your margin assumptions for 2016? I just want to make sure we understand what the pieces are and how you're protecting the bottom line here because I know the areas of revenue softness are higher-margin businesses.
Vishal Chhibbar - ExlService Holdings, Inc.: Hi, Jason. This is Vishal. So, one of the reasons why our EPS is slightly better is, one, because we have been able to get a better yield on our funds in India by having a better investment strategy. We had a better tax rate, which gives us some advantage from that. And also, we have been able to get some expense control on our SG&A side, which is helping to improve the EPS and get to a higher end despite the revenue being lower.
Jason Alan Kupferberg - Jefferies LLC: Okay. So, what is the specific operating margin expectation for full year 2016?
Vishal Chhibbar - ExlService Holdings, Inc.: So far, this year, we would expect the operating – adjusted operating margins to be around 14.4% to 14.5%.
Jason Alan Kupferberg - Jefferies LLC: Okay, okay. Understood. And can you just quantify for us how much the consulting business and the platform businesses were down year-over-year in the quarter?
Vishal Chhibbar - ExlService Holdings, Inc.: From a year-over-year basis or...
Jason Alan Kupferberg - Jefferies LLC: Yes.
Vishal Chhibbar - ExlService Holdings, Inc.: We don't break that out in terms of our segment. We just give the segment reporting of management as a total.
Jason Alan Kupferberg - Jefferies LLC: Okay. And then, just last thing, quickly, how much of the softness is decision-making on new contracts as opposed to the pace of ramp on existing contracts or projects that you've already won?
Rohit Kapoor - ExlService Holdings, Inc.: So, Jason, for us, the consulting business is based on each consulting engagement, which is short term in nature. That takes place with existing clients, as well as new clients. And like I said, there were a couple of clients where we had a significant change in terms of bad discretionary spend. On the property survey business, that is a volume-linked transaction engagement business, which means clients engage us to do property surveys and they pay us for each property survey that we do on a transaction-based pricing model. And therefore, if the volumes come down, our revenues on that will come down. And because of the shift towards less complex and higher thresholds that the clients adopted in that market space, our volumes were impacted by that and that's why our revenues were down in the property survey business.
Jason Alan Kupferberg - Jefferies LLC: Okay. Understood. Thank you.
Operator: Thank you. And our next question comes from Vincent Colicchio at Barrington Research. Your line is now open.
Vincent A. Colicchio - Barrington Research Associates, Inc.: Yes. So, Rohit, I'm curious, are there any other platform businesses where you're considering a change of positioning?
Rohit Kapoor - ExlService Holdings, Inc.: We are changing our positioning, like we mentioned, in the LifePRO business which was a traditional policy administration platform. And with the acquisition of LISS, we've now got a digital customer acquisition engine on top of that. We are also embedding intelligence and analytics into the customer acquisition engine. So, that is a multi-year change that we are going to be making and we are seeing good positive results in terms of that change. Our population health management business, which is CareRadius, again, that's something which we are finding can work really well for the Healthcare business. But it also works well for workers' compensation for Insurance in the P&C space. And therefore, we are making changes to how we can adopt that platform for workers' compensation work for Insurance. So, there are going to be ongoing innovations and changes that we will make to the platform businesses. By their very nature, the technology businesses and platforms are something which are going to change over a period of time, and we are going to continue to invest in terms of making those changes.
Vincent A. Colicchio - Barrington Research Associates, Inc.: Okay. Thanks. And one last question. Any changes in the pricing environment?
Rohit Kapoor - ExlService Holdings, Inc.: No, we haven't seen any real change on the pricing environment. Our traditional Ops Management business, as we said, continues to do well and we've won several deals and the pipeline is strong. The pricing has been fairly stable out there. I think what clients are looking for is the productivity uplift and the benefits associated with productivity. And when you use platforms and tools, when you use robotics, that's how you can give them that productivity benefit and that becomes a differentiating capability. So, that's why these businesses are so important to us.
Vincent A. Colicchio - Barrington Research Associates, Inc.: Okay. Thank you.
Operator: Thank you. And our next question comes from David Grossman at Stifel. Your line is now open.
David Grossman - Stifel Financial Corp.: Thank you. So, if I look back on just kind of the year, including the third quarter result, about 23% of your revenue, Rohit, is in transition. And historically, at least, you have recently good visibility on your business, even if there are cyclical elements or you hit speed bumps like you did this quarter. So, Rohit, as you think about the next few quarters, I guess, into 2017 and towards even the back half of 2017, you should have a pretty good look, at least, as to how the business is shaping out and laying out. So, are there any tools or insights you can give us into how to think about that 23% of revenue as we go through the next several quarters?
Rohit Kapoor - ExlService Holdings, Inc.: Sure, David. Look, you're absolutely right that, when we get impacted by negative volatility associated with these businesses, the impact is immediately visible. But the same thing is true for the volatility on the upside when these businesses surprise us on the upside. And I think, for 2017, the baseline for these businesses are going to be very, very good comps for 2017. So, that's one thing which will naturally play out. The second is, like I said, the services changes that we have made and the product changes that we have made, we are very confident that that's going to resonate nicely in the marketplace, and we are already seeing signs of that adoption and traction take place. So, we remain confident that that is going to help us improve our business as we go forward.
David Grossman - Stifel Financial Corp.: Right. So – but if we – again, if we go back and think about what are some of the headwinds, one is this fundamental change in one of your business lines, right, and the other is – like you said, is more cyclical related to a couple of customers. So, I guess, as we're thinking about those two issues, granted you may have seen some traction, but you still have the headwind coming from those two dynamics. So, is there any reason we should think that there would be any significant change in trajectory of those businesses over the next three or four quarters?
Rohit Kapoor - ExlService Holdings, Inc.: No. Look, I think the discretionary spend in consulting, the discretion is applied to those projects which are lower in priority for our clients. But at the same time, there are some other areas that they need to work on, which are high priority and particularly those that are impacted by the regulatory environment. We are positioning ourselves to work on those areas where the impetus for clients to make those investments is high priority and critical. And that's something which I think fundamentally changes how clients will view the kind of work that we are doing. The second part of it is most of the consulting work that we are doing is following a strategy of the tip of the spear. So, it's really to help clients think about how they can make their cost structure a lot more competitive and think about outsourcing and leveraging a global competitive cost structure. And again, that is something which is absolutely necessary and a precursor for them to outsource any part of their work. So, that's going to be changing. On the platform businesses, we have spoken about moving towards a BPaaS business model, and there is a secular shift that is taking place with clients where, for certain services, they would like to adopt a pay-as-you-go business format. And again, the shift towards that pay-as-you-go business format will have volatility. But if you think about it, over a longer time period, there is a secular shift that's taking place and I think EXL is very well-positioned to benefit from that secular shift.
David Grossman - Stifel Financial Corp.: Okay.
Operator: Thank you. And our next question comes from Puneet Jain at JPMorgan. Your line is now open.
Puneet Jain - JPMorgan Securities LLC: Thanks for sneaking me in here. So, Rohit, how much of your overall platform business stems from license sales versus recurring processing revenue on top of those platforms?
Rohit Kapoor - ExlService Holdings, Inc.: So, Puneet, for us, the license sale is a small part of our platform business. Let me just provide you some broad breakup of our platform business. In our platform business, we've got work that we do on BPaaS where we use the technology and provide the service together and our customers pay us by the drink, and that is the predominant part of our platform business. In the remaining part of our platform business, where it is just associated with the technology or the platform that we have, there are three buckets. There is a software license sale, there is modification and services work that goes along with the sale of that license and then there is an annuity-based annual maintenance contract that we have for an installed base of that technology platform. The new revenue from license sale is less than a couple of percentage points for our overall platform business. So, it does not impact our overall revenues very significantly. Does that help?
Puneet Jain - JPMorgan Securities LLC: Yes, it does. No, it's helpful. And with respect to that Datasource acquisition, are you seeing increasing competition from IT services firms in analytics and need for technology capabilities in that area?
Rohit Kapoor - ExlService Holdings, Inc.: Well, yes. Analytics, as you all know, is a white-hot space. There are multiple new entrants coming into that space every day. There are some larger organizations, whether they'd be global organizations or IT organizations that are trying to pivot themselves and get into the analytics space. EXL has actually made this play early and I think we've taken up a market leadership position out there. So, our view is that we are going to continue to broaden our service capabilities, expand both horizontally as well as vertically in terms of our services offerings in analytics and continue to capitalize on the market opportunity and the capabilities set that we've got.
Puneet Jain - JPMorgan Securities LLC: Got it. And last question. Last quarter, you had mentioned reversal of earn-outs in RPM. Can you give us an update there? And were there any surprises in Analytics related to your expectations?
Vishal Chhibbar - ExlService Holdings, Inc.: The RPM earn-out, which we reversed last quarter of $3.8 million, was what we had already accrued for and there's nothing else which is there in the earn-out which is – we have to reverse. So, in terms of the expectations, how the business is performing, I think it is software and analytics, including RPM. As Rohit mentioned earlier, that business is performing as per expectations.
Puneet Jain - JPMorgan Securities LLC: I meant, how did RPM do this quarter related to your expectations?
Rohit Kapoor - ExlService Holdings, Inc.: RPM, for us, is performing in line with our expectations, Puneet. What you should know is that our hypothesis when we acquired RPM was that it is going to be a slower-growing business than our Analytics services business. And that's been true for the last six quarters that we've had RPM as part of our portfolio. But it's pretty much performing as per expectations.
Puneet Jain - JPMorgan Securities LLC: Got it. Thank you.
Operator: Thank you. And our next question comes from Bryan Bergin at Cowen & Company. Your line is now open.
Bryan C. Bergin - Cowen & Co. LLC: Hi. Thank you. On the Analytics business, what do you consider to be the market rate of growth there? And then, if you can just expand on the IT investments and your product development that you've talked about previously and the banks', I guess, appetite for those products that you're developing.
Rohit Kapoor - ExlService Holdings, Inc.: Sure, Bryan. So, in Analytics, our viewpoint is that many of the providers in the market seems to be growing at about 15% or so. And our targeted growth rate is 20%-plus, and that's why we think we are growing faster than the market is growing. In terms of IT products and capabilities, we do have some technology platforms that we've invested in, and we do license out these technology platforms independently and we also use it as part of our core Operations Management capabilities and provide that to our clients in a BPaaS format. So, business process-as-a-service as you go. There are investments that we've also made in terms of creating analytical products. And those products, we would bring to the market as those get developed and they get industrial strength. And I think that will give us a non-linear growth curve associated with our analytical products.
Bryan C. Bergin - Cowen & Co. LLC: Okay. And just on head count. Any major differences between growth within Operations Management versus the Analytics business?
Rohit Kapoor - ExlService Holdings, Inc.: No real difference out there. What you should notice is that our head count did increase quite significantly in Q3 as compared to Q2. And that is us just hiring people in advance of fulfilling the needs that we have for our Operations Management business.
Bryan C. Bergin - Cowen & Co. LLC: Okay. Thank you.
Operator: Thank you. And I'm showing no further questions in queue at this time.
Rohit Kapoor - ExlService Holdings, Inc.: Well, I just want to thank everybody for being here on this call and joining us for the third quarter call. I do want to reemphasize, our portfolio is actually very well structured. Strategically, we've been making the shift towards increasing the amount of work that we do around analytics and around platforms. We do think, in terms of our portfolio composition, it is much advanced in terms of our strategic priorities. And while there has been some short-term volatility, our long-term growth prospects remain intact. We look forward to talking to you again when we announce our year-end earnings and provide guidance for 2017 in the first quarter of 2017. Thank you, all, for joining.
Operator: Ladies and gentlemen, thank you for your participation in today's conference. This does conclude the program, and you may now disconnect. Everyone, have a great day.